Operator: Good morning, and welcome to Kelly Services Fourth Quarter Earnings Conference Call. [Operator Instructions] Today's call is being recorded at the request of Kelly Services. I would like to turn the meeting over to your host, Mr. George Corona, President and CEO. Sir, you may begin.
George Corona: Thank you, John and good morning. Welcome to Kelly Services 2018 fourth quarter conference call. With me on today's call is Olivier Thirot, our CFO. And let me remind you that any comments made during this call, including the Q&A may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments and we have no obligation to update the statements made on this call. Please refer to our SEC filings for a description of the risk factors that could influence the Company's actual future performance. As we walk through our results this morning, let me point out that my year-over-year comparisons are represented in nominal currency with the exception of our International Staffing segment, which is in constant currency. Also, I'd like to remind you once again that the 2018 adoption of a required accounting standard related to equity investments has introduced volatility into the reported net earnings of many companies including our own. Our equity investment in Persol Holdings, a leading Japanese staffing supplier with whom we've had a long-term business relationship continues to introduce this volatility into our earnings report each quarter, either positively or negatively depending on Persol stock performance. We value our relationship with Persol and the business connections we have built together and Persol continues to be an excellent investment for us. In his remarks, Olivier will provide more detail regarding our Persol investment and its impact on our reporting. Now turning to Kelly's fourth quarter results. Revenue was $1.4 billion down slightly compared to the fourth quarter of last year. Earnings from operations were $33.1 million in the fourth quarter compared with 2017 earnings of $28.4 million, an increase of 17%. Diluted losses per share in the fourth quarter were $0.62 compared to earnings per share of $0.45 in the fourth quarter of 2017, or earnings per share of $0.87 compared to earnings per share of $0.80 in the fourth quarter of 2017 on an adjusted basis. Diluted earnings per share for the full year 2018 were $0.58 compared to $1.81 for 2017. On an adjusted basis, diluted earnings per share were $2.27 in 2018 compared to the $2.20 in 2017. We are pleased to have delivered a good quarter in a tight labor market. Now, let's look at how Kelly's three operating segments performed in the fourth quarter, starting with Americas Staffing. Americas Staffing revenue increased 1% in the fourth quarter compared to the same period last year. Commercial Staffing revenue was down 1% from the prior year. Kelly Educational Staffing delivered revenue growth of 9% in the fourth quarter, and revenue in our Professional and Technical specialties decreased 2% in the fourth quarter compared to last year. On a combined basis, permanent placement fees were flat year-over-year, as we anniversary several large prior year projects. The fourth quarter gross profit rate in Americas Staffing was 18.3%, down 60 basis points from last year. The gross profit rate for the quarter was impacted by higher employee-related costs and unfavorable customer mix. Expenses for the quarter were down 3% in Americas Staffing. Expenses were lower, primarily due to performance-based compensation and effective cost management. All told, the Americas Staffing segment achieved an operating profit of $28.4 million in the quarter compared to $27.8 million last year. For the full year 2018, the Americas delivered $77.1 million in operating profit compared to $82.7 million last year. Let's now turn to our International Staffing operations outside of the Americas. Revenue in international Staffing decreased 5% compared to the prior year in nominal US dollars. On a constant currency basis, revenue decreased 1% due to declines in Western Europe. For ease of reference, the remainder of my comments on International Staffing will be on a constant currency basis. Fee-based income for the fourth quarter was up 11% year-over-year. The segment's reported GP rate for the quarter is 13.8%, a drop of 70 basis points from the same period a year earlier, driven by customer mix impact, partially offset by the fee growth mentioned earlier. Expenses were 3% lower versus the prior year, mainly due to our continued effective cost management. All told, International Staffing reported operating profit was $3.8 million compared to $5.6 million a year ago. And for the full year, International Staffing delivered earnings from operations of $20 million compared to $22.1 million in the prior year. Now, let's turn to the results of our Global Talent Solutions reporting segment. The GTS reporting segment reflects the two primary ways that large clients in this segment are buying from us, talent fulfillment, and outcome based services. I'll discuss each businesses result separately, but first let's look at how GTS performed as a whole in the fourth quarter. GTS revenue was flat year-over-year in Q4, while gross profit for the quarter decreased 2%. We continue to see structural improvement in our product mix this quarter with year-over-year volume increases in our BPO, KellyConnect and CWO practices offset by decreases in our centrally delivered staffing practice. Despite the improved product mix, our gross profit decreased during the quarter due to higher employee-related costs versus a year ago. Now, let's look at gross profit results in each of the two GTS business segments. Our talent fulfillment business is made up of our contingent workforce outsourcing, CWO; payroll process outsourcing, PPO, essentially delivered staffing and recruitment process outsourcing, RPO solutions. Gross profit in the talent fulfillment business was down 9% year-over-year for the quarter. This was a result of the decreased volume in our centrally delivered staffing practice coupled with increases in our employee-related costs. These were partially offset by the volume and GP growth in our CWO product. Turning to our outcome based services business, this business is comprised of our BPO, KellyConnect, Kelly legal managed services and advisory services solutions. Gross profit in our outcome based services business increased 12% year-over-year, driven primarily by continued strong volume growth in both our BPO and KellyConnect products, partially offset by an increase in our employee-related costs. Overall, the GTS segment gross profit rate was 19.7% for the quarter, down 50 basis points year-over-year. This lower rate is primarily a result of the previously mentioned increase in our employee-related cost, partially offset by the structural improvement in our product mix. Expenses in GTS were down 4% year-over-year in the fourth quarter, primarily due to performance-based compensation and effective cost management. We continue to align resource and spending levels, in line with volume and GP in both are outcome based and talent fulfillment businesses. All told, GTS fourth quarter operating profit was $26.8 million compared to the $25.6 million a year ago. For the full-year GTS delivered earnings from operations of $84.6 million compared to $77 million a year ago, a 10% increase year-over-year. Now, I'll turn the call over to Olivier, who will cover our quarterly results for the entire Company.
Olivier Thirot: Thank you, George. Revenue totaled $1.4 billion, down slightly from the fourth quarter of last year. Our total company reported results were unfavorably impacted by 110 basis points due to Forex exchange. So on a constant currency basis, our revenue growth for the fourth quarter was 0.6%. Overall, the Q4 revenue growth rate reflects modest growth in the Americas Staffing and Global Talent Solutions segment, partially offset by lower revenues in International Staffing. Permanent placement fees were up 2% year-over-year from continued growth in fees in International Staffing. Our gross profit rate was down 3.3%. Our gross profit rate was 18%, down 50 basis points when compared to the fourth quarter last year. The rate decline reflects higher employee-related costs in the Americas Staffing and GTS segments and the impact of customer mix in International Staffing. This was partially offset by our continued structural margin improvement coming from our GTS segment. SG&A expenses were down 5.7% year-over-year. This reflects lower performance-based incentive compensation, as well as our ongoing cost management efforts in response to our top line trends. Our cost management effort reaffirms our commitment to generating returns from our investments in our service delivery infrastructure. We'll continue to manage expenses across all of our operations in line with GP growth. Earnings from operations were $33.1 million in the fourth quarter compared with 2017 earnings of $28.4 million, an increase of 17%. These results reflect a conversion rate or return on gross profit of 13% up 220 basis points compared to Q4, 2017. On a full-year basis, earnings from operations were $87.4 million compared with $83.3 million or $85.7 million, excluding restructuring charges of 2% on a like-for-like basis. Our 2018 result reflect modest revenue growth, including a focus on value drivers coupled with solid expense control efforts. This allowed us to fund investments in several key initiatives including technology and innovation, while delivering consistent year-over-year earnings and conversion rates. As we mentioned on prior calls, Kelly adopted a required accounting standard related to the treatment of unrealized gains and losses on our equity investment in Persol Holdings. As a result of that change, we recognized $83.2 million pretax loss on our Persol common stock in the quarter, as a result of decreases in the market price of Persol stock. This accounting change has introduced significant volatility in our reported net earnings and does not reflect the trends in our operating performance. For the full year, the loss of on Persol stock is $96.2 million. These non-cash losses are recognized below earnings from operations, as a separate line item. Income tax benefit for the fourth quarter was $23.8 million compared with our 2017 income tax expense of $12.7 million. Q4, 2018 income tax benefit includes $25.4 million related to the non-cash benefit on the loss on Persol stock. The 2017 tax expense included $13.9 million charge due to the reevaluation of our net deferred tax assets, as a result of US income tax reform. Adjusted for both, the tax benefit and our losses on Persol stock in 2018, and the impact of US tax reform in 2017; our tax expense was $1.6 million in 2018 versus $1.2 million benefit in 2017. The change is driven primarily by the impact of non-deductible losses on investments in company-owned life insurance in 2018, partially offset by lower US income tax rates, plus US tax reform. And finally, diluted earnings per share for the fourth quarter of 2018 was a loss of $0.62 per share compared to earning of $0.45 per share in 2017. Included in 2018, EPS is approximately $1.49 related to our non-cash loss on Persol stock net of tax. Included in the 2017, EPS is $0.45 per share related to the impact of US tax reform. Excluding both items, net of tax, our adjusted Q4 EPS was $0.87 compared to $0.80 per share in Q4, 2017. And for the full year, diluted earnings per share were $0.58 compared to $1.81 for 2017. Full year earnings per share for 2018 were unfavorably impacted by the $1.69 non-cash after-tax loss on Persol Holdings common stock. 2017 earnings per share were unfavorably impacted by the $0.35 non-cash, income tax charge, resulting from the US tax reform and also by the $0.04 per share restructuring charges, net of tax. On an adjusted basis, diluted earnings per share were $2.27 in 2018 compared to $2.20 in 2017. Now looking ahead to 2019. For the full year, we expect our reported revenue growth to be 3.5% to 5.5%. This includes an expected unfavorable impact of FX on the revenue of approximately 50 basis points, as well as 50 basis points reduction, as a result of our divestiture of our legal staffing and solutions business. Also included in our expectations is the impact from our recently announced acquisitions of NextGen Global Resources and Global Technology Associates. We currently expect them to contribute approximately 2% to 3% on our revenue growth. Also, we are in the early stages of our assessment, including the impact of adoption of Kelly's revenue recognition policies and new revenue accounting standard. We do anticipate that our organic revenue growth will continue to be modest in the early part of the year and then will improve progressively, as we move through the remainder of the year. We expect that this pace of growth will be supported by our ongoing efforts to revitalize our staffing delivering models to reflect continuing demand and today's tight labor market, primarily in Americas Staffing. We'll provide additional details about our progress during subsequent calls. We expect the gross profit rate to be up on a year-over-year basis, while we may continue to expand some volatility in the GP rate on a quarterly basis, as we have seen in 2018 increasing in Q4, structural changes in business mix from our shift to higher margin solutions are expected to positively impact our GP rate for the full year. And we also expect that our recent acquisitions will further accelerate our structural GP rate improvement. We anticipate SG&A expense to be up 4% to 6% on a reported basis. This includes increase in incentive compensation expenses, which will only be paid upon achievement of performance objectives and also additional spending on our technology and efficiency initiatives, as well as the impact of our recent acquisition, which is expected to account for about 50% of our total SG&A growth for the year. This includes additional organic investment in these businesses, as well as the amortization of acquired intangible assets. So, all in, while we continue to make investments in several key areas of our business in 2019, we expect to deliver year-over-year improvement in our conversion rate. Consistent with our prior discussions, the outlook provided does not reflect any gains and losses on Persol stock, although, we do believe that future unrealized gains and losses resulting from changes in market price could be material. And finally, our 2019 annual income tax rate is expected to be in the low to mid teens range. Now, moving to the balance sheet. Cash totaled $35 million compared to $33 million a year ago that was $2 million compared to $10 million at year-end 2017. Accounts receivable was $1.3 billion, and increased 0.6% year-over-year. Global DSO was 55 days and consistent with year-end 2017. In our cash flow for the full year, we generated $36 million of free cash flow compared to $46 million of free cash flow in 2017. As a reminder, our recent acquisitions took place in early January, and as a result, our year-end balance sheet and cash flows do not reflect the impact of those transactions. For more information on our performance, please review the fourth quarter slide deck, which is available on our website. I will now turn it back over to George for his concluding thoughts.
George Corona: Thank you, Olivier. Kelly delivered a good quarter and a solid year in 2018 despite a tight labor market. A growing US economy and historic low unemployment rates made recruiting more challenging in 2018 and increased the time and expense required to fill positions. As we enter the second half of the year, the European economy began to soften impacting the growth rates of the business in this region. Despite these developments, Kelly performed well. Complementing this good performance was the significant progress we've made against our strategic priorities, creating value drivers that will help power our future success. One area of progress this year was our effort to become a more focused company. With the sale of both our healthcare and legal specialty operations during 2018, we can now place a greater focus on our education engineering and science specialties. In education, for example, we successfully integrated our 2017 acquisition of Teachers On Call during 2018. We also made additional progress in making strategic investments. In our engineering specialty area, we identified two firms that could immediately expand our engineering portfolio and which would support our objective to become a high-margin, high growth specialty talent solutions provider. On January 2nd, 2019, we acquired these firms and have begun integration activities. Global Technology Associates and NextGen Global Resources positioned Kelly as one of the leading engineering workforce solutions companies in the fast growing 5G technology space. Both companies provide services to the largest carriers and original equipment manufacturers in the telecommunications industry. Our investments this year also included our ongoing commitment to the future of work, as the Kelly Innovation Fund participated in the seed funding rate -- fund raising round for the Kenzie Academy, a US tech apprenticeship program that develops modern tech workers. And to strengthen our position in the independent contractor segment during 2018, we made a minority equity investment in Business Talent Group, a US based marketplace that connects highly skilled independent talent to some of the world's largest businesses. BTG has emerged as a leader in its field and shares Kelly's passion for empowering the future of independent workers. We also continue to make investments in technology, particularly technology that supports greater efficiency and filling customer orders. We made investments in our front office platform for the North American market during 2018, which we expect will streamline the process and workflows associated with recruiting, onboarding and reassigning talent. Looking ahead, we remain focused on our strategy to invest in the people; products and technology that will help us capitalize on the expanding specialty talent solutions markets, where there are abundant opportunities for growth and increased profitability. Our ability to deliver good results this year in a challenging labor market is a testament to the flexibility and resourcefulness of Kelly's teams, and I would like to personally thank them for all their great work during 2018 and for pursuing our noble purpose of connecting people to work in ways that enrich their lives. I look forward to reporting back to you on the results of our efforts next quarter. And Olivier and I will now be happy to answer your questions.
Operator: [Operator Instructions] First, we go to the line of John Healy with Northcoast Research. Please go ahead.
JohnHealy: Thank you. George, I wanted to just -- just ask you a little bit about kind of the prepared remarks that you guys put out in the press release this morning, you talked about abundant opportunities for growth and I think those are clear with some of the acquisitions and refocusing of the business mix, but do you have opportunities for increased profitability. Beyond mix adjustments in the business, can you maybe talk to what do you think the two or three items kind of internally are the most meaningful that can help that SG&A conversion in terms of higher margins over the next few years?
GeorgeCorona: Yes. I think there is a few, John. I mean first and foremost beyond what you just talked about, which was some of the acquisitions that we're making into the higher-growth areas, higher margin areas of the market, our ongoing investments in technology to make ourselves much more, not only much more efficient in how we go about recruiting, but able to make it faster for us to be able to respond to customer demand, as well as lowering our overall cost in the middle office are going to have a big impact moving forward, particularly as we get outside of 2019 and move into the future, as we get these investments in to help on the conversion rate. Secondarily, we are working very, very diligently looking at our service delivery models that we have in the United States and trying to look at more efficient ways to deliver to our customers and realigning our business in that mode and we will be working on that throughout the year. You'll be hearing more about that in future quarters. Those are really the two biggest areas that you would see that are going to have a significant impact beyond the structural mix changes.
JohnHealy: Okay, great. And then I wanted to ask just about the Adderley family shares. Is there any sort of update that you can provide investors with, maybe how the trust processes is going or maybe what the trustees have communicated to the Company about any sorts of timing or expectations or ownership of those shares kind of longer term?
GeorgeCorona: Not yet. At this point, all we -- all we can share with you is, what you've seen in our filing, which is the Trust K, has taken control of those shares. We have a good relationship with them. And at this point, we continue to pursue our strategic plan.
JohnHealy: Okay. And then just on a little bit on the guidance for 2019. Can you help us maybe frame a little bit about the potential for gross profit improvement -- gross margin improvement in 2019, I -- Olivier; I think you said, you mentioned they would be up. But should we be thinking more up modestly 10 basis points to 20 basis points or can it be more meaningful than that? And then also any thought -- sort of initial thoughts on just the tax rate for 2019?
OlivierThirot: Yes. I mean on the GP rate, I would say and I've mentioned some volatility on a very short term quarterly basis from one quarter to another one, and you have seen that and we have seen that in 2018 especially in Q4. If you put that kind of short term fluctuation up and down, I'll say we continue to expect to drive structural GP rate improvements through our project mix. And when you look at history, I would say, this structural improvement is averaging 20 basis points to 30 basis points a year, which is what we have seen from 2014 up to now, there will be certainly fluctuations on the short run from one quarter to another one, but that's what our expectation is. And also, we see some acceleration of the structural improvements through the two recent acquisitions that George has mentioned.
JohnHealy: Great. That is helpful. And then just on the tax rate, I -- you might have mentioned it in the prepared remarks, I missed it. But I was just trying to think if you know, low teens are still appropriate for you guys?
OlivierThirot: Yes, I mean, the current outlook we have is low to mid teens. Of course, I mean the Persol stocks are creating a lot of volatility because of the ups and downs we have seen during the year in term of the value of this investment. And of course, the tax rate that is applied to Persol stock is higher than the US rate. So it's creating really a lot of volatility. If you exclude that I feel comfortable on 10% to 15% range.
Operator: And next to Josh Vogel with Sidoti & Company. Please go ahead.
JoshuaVogel: Thank you. Good morning, everyone. I guess the first question is around just the ongoing supply constraints you're seeing in just general cost of recruiting. I was curious if you're having dialog with clients, whether in Americas, International around better pricing terms and if you are, how are those are progressing?
GeorgeCorona: Yes. So when you first attack that with clients, it really goes towards wage rate more than price adjustments. The reason being is because as you begin to get into this tight labor market and the wage rates begin to grow, of course, you start to have trouble filling orders if you don't have competitive wage rate. So we have been focused very heavily on working with clients on improving the wage rates, which by the way then improve our pricing as well because most of our businesses on a contract markup basis . I would tell you that early on, they were very, very difficult and with some clients, they continued to be difficult discussions, but it's getting easier, as we go through this process to convince clients, who aren't getting their orders filled to be able to look at increasing the rate. The other thing, I'll tell you that we look at very heavily is, in those clients that the pricing is not good enough for us and we're not earning enough, we're starting to look at moving away from some of those clients and taking the supply that we have and putting it to clients, where there are better pay rates and more better terms. And we always do that in a professional way not to leave anybody hanging, but we're looking at that very heavily as well.
JoshuaVogel: Fair, helpful. Thank you. I guess, on a slight tangent there, are you taking any steps to reduce DSOs, you're having any success in -- in the terms or the payment terms with clients?
OlivierThirot: Well, I mean, when -- when you look, I would say we are in a phase of what I would call containment. You might have seen that in 2018, we have managed to keep our DSO contained at a similar level than 2017. There are some areas, where we have managed to put pressure and go down especially in Americas Staffing. It's more difficult for bigger customers, but we are exercising strict control on that and when George was talking about potentially exiting or moving away from some customers, the margin of course is one criteria we are using and bottom line, but also the potential you know DSO exposure we have in the future and the -- the pressure we have on DSO in -- for certain customers. So it's more and more one of the criteria amongst others that we think will account to basically decide whether or not we are keeping or exiting some customers.
JoshuaVogel: Okay, thank you. Shifting gears a little bit looking overseas, obviously, a lot going on whether Germany industrial production, as the economy is down, the Brexit with UK, fiscal troubles in Italy. I guess, so and I apologize if you mentioned it in your prepared remarks, but when we look at your guidance for the full year and we look at the International Staffing division, so you maybe get a little bit more granular, where do you see that segment in 2019 from a revenue perspective versus 2018?
GeorgeCorona: Yes. I'm going to have Olivier answer that but before he does that the one thing I want to frame is, when you think about the European market, we're just not big enough to be a bellwether to tell you kind of what's going on with the overall market because when you think about some of our bigger competitors, they would be more of a bellwether.. Olivier can tell you more about the International segment.
OlivierThirot: Yes. I mean, when you look at, I mean say Q4 some recent trends in revenue, I would say there are countries, where we still do very well like Russia, Italy and others. There are countries, where we see some market dynamic that is kind of slowing down like a good example is Portugal, but overall I would say we see more pressure to reduce our growth. But we still -- we're still seeing that there are opportunities to continue to grow probably not at a very, very high pace, but something reasonable I would say for 2019.
JoshuaVogel: Okay. And when we look at the technology and efficiency initiatives there is some -- I don't know if you can get this granular for us. But can you give us an idea of what you spend towards these initiatives in 2018. What you're expecting in 2019? And how that will look like from a quarter-to-quarter perspective, as the year progresses?
GeorgeCorona: Yes. I think the best way for you to take a look at that is take a look at our capital expenditures and how they've been progressing over the last couple of years because the predominant piece of that capital expenditure is in technology and then recognize it from the accounting standards, these days only about half of it is capital and the rest of it, you would have a corresponding growth rate in SG&A. So I would point you to look at that. When we think about how does that progress throughout the year? It's going to be pretty even, I believe throughout the year in terms of our expenditures toward that. But what should be happening, as we move towards the end of the year is we'll be completing some of these projects, as we move into 2020. It should get a little better.
JoshuaVogel: Great. And one last one if I may. Just looking at the two recent deals, GTA and NextGen, obviously those two deals make sense from a complementary standpoint. I was just curious, if you -- if there was any existing overlap with your -- any -- within your client base before you made those deals?
GeorgeCorona: Certainly, we delivered this, some of those clients, but we were not in the 5G space from a specialty perspective. And so when you think about it as a talent in, there was not very much duplication at all from the type of talent that they're delivering versus the type of talent that we're delivering. So pretty much complementary businesses to us. End of Q&A
Operator: Mr. Corona, no further questions coming in.
George Corona: Okay, John. Thank you very much. I think we can close the call. Thanks, everyone.
Olivier Thirot: Thank you.
Operator: Great, thank you. Ladies and gentlemen, this conference is available for replay. It starts today at 11:30 AM Eastern will last until March 13th at midnight. You may access the replay at any time by dialing 800-475-6701 or 320-365-3844. The access code is 393792. Those numbers again 800-475-6701 or 320-365-3844. The access code 393792. That does conclude your conference for today. Thank you for your participation. You may now disconnect.